Operator: Good day, everyone, and welcome to the AMC Entertainment Holdings, Inc. Second Quarter Earnings Webcast. [Operator Instructions] It is now my pleasure to turn the program over to John Merriwether, Vice President, Capital Markets.
John C. Merriwether: Thank you, Leo. Good afternoon. I'd like to welcome everyone to AMC's Second Quarter 2025 Earnings Webcast. With me this afternoon is Adam Aron, our Chairman and CEO; and Sean Goodman, our Chief Financial Officer. Before I turn the webcast over to Adam, I'd like to remind everyone that some of the comments made by management during this webcast may contain forward-looking statements that are based on management's current expectations. Numerous risks uncertainties and other factors may cause actual results to differ materially from those that might be expressed today. Many of those risks and uncertainties are discussed in our most recent public filings, including our most recently filed 10-K and 10-Q. Several of the factors that will determine the company's future results are beyond the ability of the company to control or predict. In light of the uncertainties inherent in any forward-looking statements, listeners are cautioned against relying on these statements. The company undertakes no obligation to revise or update any forward-looking statements, whether as a result of new information or future events. On this webcast, we may reference non-GAAP financial measures such as adjusted EBITDA, free cash flow and constant currency, among others. For a full reconciliation of our non-GAAP measures to GAAP results, please see our earnings release posted in the Investor Relations section of our website earlier this morning. After our prepared remarks, there will be a question-and-answer session. This afternoon's webcast is being recorded, and a replay will be available in the Investor Relations section of our website at amctheaters.com later today. With that, I'll turn the call over to Adam.
Adam M. Aron: Thank you, John. Good afternoon, everyone, and thank you for joining us today. It's earnings at AMC and what a day it is, in this second quarter of 2025, AMC showcased the impressive operating leverage that is inherent in our business. Importantly, in Q2, movies from just about every single major and minor studio alike crushed it at the box office in spectacular fashion. With the second quarter domestic industry box office surpassing that of the first quarter of 2025 by a stunning 85%. At AMC, we are particularly pleased that on many of these second quarter movies, our market share way overperformed. That came in part because of our network of especially productive theaters, AMC and Odeon having more premium large-format screens than any other exhibitor on the planet and the effectiveness of our compelling marketing programs. In this year's second quarter, AMC and Odeon rolled out the red carpet for nearly 63 million guests worldwide, a 25.6% increase over the same period last year. Beyond merely attaining that attendance growth, AMC's revenue growth was actually 35.6% above last year's second quarter, adding in our very tight control of our costs, AMC drove an adjusted EBITDA increase of 391.4% to a highly gratifying $189.2 million. That's a good formula. Revenues way up, combined with quite a tight management of costs, and it generated $150.7 million more adjusted EBITDA in this year's second quarter than was posted in last year's second quarter. It is a simple reality and hopefully a harbinger of things to come that as AMC's revenues grow, our EBITDA can soar. With such a sizable increase in adjusted EBITDA from $38 million and change last year to $189 million and change this year, our net cash provided by AMC's operating activities in the quarter surged to a positive $138.4 million, such a dramatic turnaround from last year's net cash used in second quarter operating activities of $34.6 million. That's a total favorable swing of $173 million improvement quarter-over-quarter. I would like to repeat those numbers so that all of you on this call and all of you on this webcast hear them very clearly. In the second quarter of 2025, AMC Entertainment delivered a 25.6% increase in global attendance above that of Q2 '24. Consolidated revenue growth of 35.6% versus Q2 of '24. Consolidated adjusted EBITDA growth of 391.4% versus Q2 of 2024. AMC's $189.2 million of adjusted EBITDA in Q2 2025 was just a hair under 5x the adjusted EBITDA of Q2 2024. Cash generated from our operating activities of a positive $138.4 million stood a favorable swing of $173 million in this year's Q2 versus Q2 of '24. Needless to say, it's all smiles at AMC today. Our second quarter results are a combination of a recovering industry-wide box office and the undeniable fact that both AMC and Odeon are executing so well in so many different ways. Indeed, we shattered all-time revenue records across nearly every per patron metric. As for the strengthening industry-wide box office, we firmly believe that this was not a short-lived spike, but rather the beginning of a sustained and powerful resurgence for our entire industry. So that expectations are set correctly, the box office in the current third quarter will only be so given some seasonal, but not alarming softness. But hold on to your hats for the size of the box office in the fourth quarter of 2025. Hello Disney's Avatar: Fire and Ash, Tron: Ares, and Zootopia 2. Hello Universal Wicked: For Good, and Five Nights at Freddy's 2. Hello Glen Powell in Paramount for Running Man and, hello to so many other wonderful films that will be getting the big screens in theaters from so many of our studio partners in the fourth quarter of this year. In total, it sure looks like 2025 is shaping up to be the biggest post-pandemic box office year yet and one which we believe will be some $500 million to $900 million more than that of full year 2024. Even more compelling is the currently envisioned 12-month run rate for theatrical moviegoing after taking out the weak Q1 of 2025 and replacing it with the much stronger Q1 that we anticipate for 2026. Perhaps with an occasional blip here or there, we expect the 2026 box office will radiate with great strength and resonate with theatrical moviegoers pretty much all year long. Of particular note, this year, in 2025, the first quarter was terribly weak. In 2026's first quarter by contrast, we'll see the spillover benefits from Avatar: Fire and Ash's December 2025 opening, which, in our view, should greatly help to boost the Q1 2026 box office back up to a much healthier level. That should start the year 2026 off right, and we are highly encouraged by the extraordinary slate of films being released throughout the full year. It's our view, and we are far from alone with this optimism for 2026 that the 2026 box office will be considerably larger than that of 2025. Turning back to the performance of AMC and Odeon specifically in the just completed quarter. We set record after record in this year's second quarter. For the first time ever, AMC's consolidated admissions revenue per patron topped $12, coming in at $12.14. Our consolidated food and beverage revenue per guest jumped to a record of $7.95. And our total consolidated revenue per patron at AMC and Odeon hit an unprecedented $22.26 for us. We believe that these new records powerfully validate the rationale behind our various strategic initiatives and the fact that consumers view moviegoing at AMC and Odeon to be highly attractive out-of-home entertainment experiences. In addition to setting new operational records during the quarter and delivering a powerful earnings reported result, just as important, we've continued to fortify our balance sheet. As you know, in July, we just closed a series of transformative transactions, including receiving more than $240 million in cash from new debt issuance and the equitization of at least $143 million in debt with the potential to equitize even more up to a total of $337 million. We have now addressed all of our 2026 debt maturities, pushing them out to 2029. That's 4 years from now. In so doing, we've put in place a solid foundation to capitalize on what we believe will be our industry's continued growth momentum and our company's continued growth momentum, which should be especially evident in the fourth quarter of 2025 and continuing deeply into 2026. If I had to pick up just one set of words to characterize AMC's strong performance in the second quarter of 2025 and our optimism and our confidence about AMC's expected performance for 2026, it would be these. And I quote myself, impressive operating leverage. As AMC's revenues grow, our EBITDA at AMC can soar. I'll now pass this call and webcast over to Sean Goodman, our CFO, to provide more detail on the financial results, after which I'll return to provide an update on the AMC Go plan and others of our strategic initiatives, Sean?
Sean D. Goodman: Thanks, Adam, and thank you, everyone, for joining us this afternoon. We are pleased to report a quarter in which, as Adam just noted, the team set a number of very impressive records about -- across both our domestic and international operations. Substantial year-over-year industry growth drove our attendance growth, which when coupled with record-breaking per patron revenue and per patron profit resulted in an outstanding set of results for the second quarter. Allow me to elaborate. I'm comparing consolidated results for Q2 2025 to Q2 of 2024. Global attendance rose 25.6% as we welcomed 63 million moviegoers to our theaters. Total revenue grew by 35.6% or 34.1% in constant currency, reaching $1.4 billion. Adjusted EBITDA grew fourfold to $189.2 million, and we generated free cash flow of $89 million, a $168 million improvement compared to the prior year's second quarter. These results were achieved through admissions revenue per patron growth of 7.5% or 6.2% in constant currency to an all-time record of $12.14. At the same time, food and beverage revenue per patron climbed 8.3% or 7.4% in constant currency to an all-time record of $7.95. And total revenue per patron grew 8% or 6.7% in constant currency to yet another all-time record of $22.26. Total revenue per patron is now up approximately 43% compared to pre-pandemic 2019. This is driven in a large part by an approximately 56% increase in food and beverage revenue per patron. Not only did we achieve the per patron revenue records that I just noted, we also grew our contribution margin per patron by 5.2% or 3.9% in constant currency to $14.48. Note this is approximately 48% higher than pre-pandemic 2019. And you'll recall that we calculate contribution margin as total revenue minus both film exhibition costs and food and beverage costs, and this is then divided by total attendance to get to a contribution margin per patron. This is a measure that is intended to provide an indication of the incremental profit that we generate with each additional guest. Based on all the above, it should come as no surprise that the total admissions revenue hit a Q2 post-pandemic high of $762.6 million, and this is an important one. Total food and beverage revenue hit an all-time AMC high of $500 million. Our results highlight the significant operating leverage, as Adam just mentioned, that is inherent in our business. With attendance up 25.6%, our adjusted EBITDA margin in Q2 2025 was almost 1,000 basis points above last year's second quarter. It's worth noting that thanks to operating efficiencies, despite consolidated Q2 2025 attendance being some 35% below pre- pandemic Q2 of 2019, which is the quarter that holds the record for the highest quarterly attendance in AMC's history, thanks to the spectacularly successful Avengers Endgame, despite being 35% lower attendance, our consolidated contribution margin in Q2 2025 was just 4% below Q2 of 2019, and our consolidated contribution margin per screen was, in fact, 9% above Q2 of 2019. This all illustrates our conviction that the industry does not need to fully recover to pre-pandemic box office levels for us to achieve pre-pandemic levels of adjusted EBITDA. Up until now, I focused on the consolidated results and record achievements, but note that both our domestic and international theaters operated at record levels during the quarter. And that food and beverage revenue per patron and food and beverage profit per patron have never been higher at both our domestic and our international theaters. The second quarter results reflect the impact of our continued focus on creating an unrivaled guest experience through industry- leading innovations, coupled with our enviable theater footprint and the most comprehensive and growing selection of premium large- format offerings. Another driver of our success is the actions that we've taken to optimize our footprint and enhance profitability by renegotiating leases, closing underperforming locations and investing in high-performing new theaters. Since the beginning of 2020, we have now closed 204 theaters and opened 65, resulting in a net reduction of 139 locations or nearly 14% reduction. Notably, in just the last 18 months, we've closed 42 theaters and opened 6. Let's now turn briefly to our balance sheet. We ended the quarter with $423.7 million of cash and cash equivalents, excluding an additional $51 million in restricted cash. From a CapEx perspective, for the full year 2025, we expect CapEx less landlord contributions to be in the range of $175 million to $225 million. Our capital allocation priorities remain unchanged: one, ensuring adequate liquidity; two, reducing our financial leverage; three, enhancing our existing circuit; and four, pursuing high-return growth-orientated initiatives. With the first 2 capital allocation priorities squarely in mind, as Adam noted, we have recently taken important steps to strengthen our financial position. The collaborative and transformative transactions announced in July strengthen our financial position by: one, enhancing liquidity and addressing near-term debt maturities by raising more than $240 million of new capital before fees and expenses that are primarily being used to repay all debt maturing in 2026; and two, lowering our financial leverage by equitizing at least $143 million of exchangeable debt with the potential to equitize up to $337 million of such debt in total in the future. These actions, which were supported by approximately 90% of our term loan lenders represent a substantial vote of confidence in AMC's future and give us a runway to execute on our strategy and capitalize on the industry recovery. Since the beginning of 2022, we have now lowered the principal value of our debt and finance leases by more than $1.1 billion, and we've repaid $284 million of deferred leases. All of this for total debt and deferred rent reduction of $1.42 billion in about 3.5 years. Looking forward, we expect some seasonal box office weakness in the third quarter when we will also be up against some tough prior year comparators. However, we have high expectations for the fourth quarter, which may see the strongest quarterly box office in 6 years. From a free cash flow perspective, we're pleased with the strong Q2 results. And while Q3 may be somewhat challenging, we continue to anticipate being free cash flow positive for the 9-month period ending December 31, '25, assuming that the box office performs in line with our expectations. In conclusion, this quarter results reaffirm our conviction that our strategies are working and that AMC is extraordinarily well positioned to thrive as the industry continues along the recovery glide path. And now I'll hand the webcast back over to Adam.
Adam M. Aron: Thank you, Sean. I'd like to start a discussion of what comes next for AMC by first talking about some major pricing actions that we have recently taken. Showing our pro-consumer attitude, on Tuesday, July 8, and Wednesday, July 9, just a month ago, we kicked off our new 50% off, Tuesdays and Wednesdays discounted ticket pricing strategy here in the United States. Bargain hunters can now find cheap admission ticket pricing at all of our showtimes on 2 days in a week at the vast majority of our U.S. theaters. Discount Tuesdays has long been a staple in our industry. And it built up Tuesdays to being AMC's highest non-weekend attendance day of the week. New this past month, we changed our messaging, instead of it being referred to as discount Tuesdays, it's now called 50% off Tuesdays, a message that we expect will be a far stronger communication to potential bargain-seeking moviegoers than merely saying discount Tuesdays, as we've said for years. Why? Well, with our new messaging, potential guests instantly can see and instantly can understand the magnitude of the discount level that we're offering to them. And of course, it's a sizable one. More than that, though, we now have extended that same pricing philosophy to Wednesdays as well. We're doing so with the hope that just has been the case for Tuesdays for years now, we can turn Wednesdays into high patronage day for AMC in the United States. Currently by contrast, Wednesday heretofore has been our single lowest attendance day of the week. We're only 4 weeks into this important new pricing initiative, so it's too early to declare victory yet, but we definitely have seen attendance spikes, and we are highly encouraged by the starting attendance numbers that we've seen so far as a result of the changes that we've made in the Tuesday messaging and the extension of those same discounts to Wednesdays at our U.S. theaters. Two other really important things to note about our 50% off Tuesdays and Wednesdays effort. First, this discount is only available to members of our AMC Stubs loyalty program, but that includes any instantaneous new member sign-ups. So that gives consumers a powerful incentive to join our loyalty program, which in turn allows us to track their package and market to them directly by communicating with them often. It's an ingenious acquisition device for us to gain new loyalty program member sign-ups. Second, and this may be something that many of you are unaware of, because we knew that we would be doing so much and so visibly so to offer bargains to bargain seekers. Knowing that having a discount and Tuesday and Wednesday effort in the works also gave us the courage a couple of months ago to broadly raise prices at our U.S. theaters on Thursdays, Fridays, Saturdays, Sundays and Mondays when most of our patronage takes place. That effort has worked out very well, and you'll see that in our second quarter numbers, for example, AMC's average ticket price in the U.S. often meaningfully exceeds the prices realized by some of our most important competitors. The yield management strategies differ at our European theaters, but in looking back at the completed Q2 performance, again, you will see that we've had considerable success in realizing more ticket revenue per guest than was the case in prior quarters for us and is the case still for so many others in our industry. Next, I'd like to turn to the efficacy of some of our most important marketing programs. Our U.S. loyalty program, AMC Stubs, has movie database purchase activity, collected on some 36 million U.S. households. That's around 90 million people in total. About half of our total U.S. ticket-buying guests are members of our AMC Stubs program playing both for their points and to receive their other recognition benefits that come to them from being a Stubs member. I am particularly excited that on January 1 of this year, we launched a new VIP tier within the Stubs program, a new level between the heretofore insider tier and the premier tier. In just 7 short months, we are already pushing close to 0.5 million active members in this newly created VIP tier. It's an incredible success story for AMC. Then there's A-List, our monthly subscription program, which also is still a massive hit for AMC. Launched in the middle of 2018, A- List members see an average of about 30 movies per year at an AMC theater. Just recently, like literally in the last few weeks, A-List was a [indiscernible] profiled in the pages of both the Wall Street Journal and the Los Angeles Times, the latter of which described A-List as having cult-like strong consumer appeal, especially with the younger Gen Z. That's so good for AMC, not the articles, but the fact of our -- the appeal of our program to Gen Z customers because it portends so well not only for our current patronage at AMC theaters, but our future patronage as those A-Listers stay with us for years and years to come. Paid membership in A-List is roaring hot. It's currently running up about 15% year-over-year. Our similar subscription program in Europe, Limitless, also has considerable consumer appeal, especially so in the United Kingdom. Another marketing step forward for AMC Entertainment is this one. In looking back to the arrival on scene in 2021 and since then of retail investors, we knew that they were interested in the prospects of AMC financially. It was obvious to us that we should set out to convert their interest in our company into securing their brand loyalty as moviegoing customers as well. So we created the AMC Investor Connect program, which was individually enrolled in. There was no automatic enrollments, no group enrollments, people in this sign up one at a time. And incredibly, AMC Investor Connect now has some 1.7 million enrolled members, another marketing success for AMC. And finally, there's our consumer advertising featuring Nicole Kidman. It certainly has hit the zeitgeist, both in the United States and across the United Kingdom and Europe. All of us at AMC and all [indiscernible] are existentially proud that Nicole Kidman continues to be such a central part of our marketing activity. Speaking of global celebrity, the movie distribution effort that was such a success for AMC, starting with Taylor Swift and Beyonce in 2023 continues to deliver for us. Last year, we did a Billie Eilish album release listening event with Interscope records. And just this past weekend, AMC exclusively played what I describe as an, Eminem's love letter to his legion of fans, a documentary called Stans. This was an effort championed by Eminem himself, and you'll see repeated mention and praise of this documentary repeatedly on this very prominent wrapper social media postings. We continue to expect in the future that more interesting film products will come our way directly. And finally, let me turn to the AMC Go plan. As you know, it's a comprehensive effort to continue positioning our company to fully seize the enormous potential of a resurgent industry-wide box office. Here are just a few of the actions that we're taking right now under the auspices of AMC Go because AMC Go focused as it is on offering our guests premium experiences of plenty. We already have started the work to double the number of our already existing IMAX auditoriums that have been stepped up in their quality to the much improved IMAX laser projection technology and enhanced sound systems. We also add some additional IMAX screens as well to our current worldwide total of 220. Paying close attention to the quality of the IMAX experience that AMC offers makes complete sense, given that currently, about half of all the IMAX screens in the United States, for example, are located at an AMC theater. Just as we're growing our IMAX footprint, we're also growing our new -- sorry, our Dolby Cinema footprint. We are going to be adding 23 new Dolby Cinema screens in the U.S., just in '25 and 2026 alone to our current worldwide number of 178. And we'll continue to add more Dolby Cinemas in 2027 and beyond. Over the next few years, we also hope to expand our house brands. That is to say we expect to more than triple the number of our house branded Prime and AMC PLF auditoriums, essentially eventually getting up to 100 or more Prime and AMCs. And that's in addition to the 82 house brand iSense PLF screens that Odeon already has internationally. Looking past the PLFs per se, in AMC and Odeon Exclusive, we now already have open for business more than 120 XL branded extra large screens in the United States and across the Atlantic. XL was launched by us with our first such screen only 1.5 years ago. And yet by this year-end, we should have more than 150. And by next year-end, meaning by December 2026, we should have close to 350 XL auditoriums opened and available for our guests. Our XL branding initiative is a smart, cost-effective way for us to shine a spotlight on some of the biggest and most impressive auditoriums in our circuit. In the U.S., all with giant screens that are at least 40 feet wide and featuring sharp and crisp 4K laser projection. And in all cases, there'll be prominent XL branding that's highly in evidence across our theaters, our website and our mobile app and lets guests easily identify and select this upgraded experience that is offered only by AMC and Odeon. And finally, we continue to broadly equip our theaters with state-of-the-art laser projection. Right now, more than 2/5 of our U.S. screens now feature laser projection, which through brighter, bolder and more energy-efficient projection, so noticeably improves the dazzling images cast onto our giant silver screens. By year-end, this year, more than 55% of our U.S. screens should have laser projections installed. Laser at AMC is the future, and that future is now. These premium offerings are working. We're seeing strong guest satisfaction, greater capacity utilization, increased frequency of visits, higher loyalty engagement and increases to our realized prices as we deliver on our mission to offer more premium experiences than any other movie theater circuit in the world. AMC already is the home of premium experiences more than anyone else, and we are going to continue to expand on that lead. In so doing, we offer to AMC and Odeon guests the best moviegoing experience imaginable, and we believe that's a key to driving long- term profitable growth in our business as a result. As I close today's prepared remarks on this call and webcast, we recognize that there's still much work to be done on our path to a full recovery. The industry box office is still well below what it was pre-pandemic. And yet as Sean outlined, because of the dramatic increase in our contribution per patron, we actually can see EBITDA levels climb higher than pre-pandemic levels on much lower attendance and a much lower industry-wide box office. We've become remarkably efficient in running our business as a result of all the steps we've taken to improve our performance over the past 5 years. But more than just that, it is also a fact that we could not be more confident about the resurgence of the industry box office. It's finally a tailwind for AMC, not the headwind that it's been since 2020. With the strong second quarter results as our foundation this year, plus the bold actions that we're taking to harness the momentum of that resurgent box office, we believe that the future is exceedingly bright for AMC. Remember my mantra that was proven both by our fourth quarter 2024 results and our second quarter 2025 earnings success. In Q4 of '24, our revenues were up by more than 18%. And that caused our adjusted EBITDA year-over-year to triple. In Q2 of '25, our revenues were up by more than 35%, and that caused our adjusted EBITDA to nearly quintuple, impressive operating leverage. As our revenues grow at AMC, the adjusted EBITDA of AMC can soar. Sean, with that, let's move to questions from equity analysts and from our retail shareholders.
Operator: [Operator Instructions] We'll take our first question from Eric Wold of Texas Capital Securities.
Eric Christian Wold: So you talked a lot about pricing Adam. You obviously mentioned the 50% off Wednesday pricing you implemented about a month ago to bring in the bargain hunters. And you also mentioned you took up or felt comfortable enough to raise prices every day of the week on Tuesday. And I think you still have surcharges on some of the blockbuster films kind of opening weekend. So I guess you're comfortable raising prices on tickets kind of in this macro environment. Maybe talk a little bit about food and beverages. What are your thoughts there once you get the consumers into the theaters? Are you taking up prices on food and beverage? Are you more focused on driving incidents and getting people to the counters instead of taking up price? Where is the focus there? And what is the best way that you found to drive incidents recently? What's worked the best there?
Adam M. Aron: First of all, hello, Eric, welcome back. Maybe you're a good luck charm. You're back and like delivered a quarter to end all quarters. So first of all, on pricing of tickets. I believe that the better messaging on Tuesdays, calling it 50% off Tuesdays instead of discount Tuesdays is going to explain the level of discount, the magnitude of discount such that we're going to boost our Tuesday revenues by the change in messaging. I also believe because we're extending that Tuesday pricing philosophy, which has worked so well for like more than a decade in the movie theater business, that we have the chance to do something with Wednesdays. We don't sell any tickets on Wednesdays now -- actually now, I should say, before July 9. We didn't sell any tickets on Wednesdays. So the price we charge on Wednesday doesn't really matter when you don't sell any. And I'm actually hopeful that we can start to see Wednesday admission revenues rivaled Tuesday admission revenues, turning what is now the poorest day of the week for attendance into the strongest non-weekend day of the week for attendance that being Tuesday. And as I said, the early signs -- we can't declare victory in 4 weeks, but the early signs are quite encouraging that consumers are noticing. So that's Tuesday, Wednesday down. But Tuesday, Wednesday down as you -- as I said before and as you repeated, meant that Thursday and Mondays, we took up, and we see no pushback on the prices we've collected for tickets. We had an average price 2 weekends ago, over $14 in the United States. Those kind of eye-popping numbers given where pricing has been in recent years and where it is even today at some of our competitors. The other thing that gives us confidence in having taken those pricing actions, and I want to be clear, I comply with the law very carefully. I'm making no comments about what we will do with pricing going forward. I'm only talking about actions that we've taken on pricing retroactively in the rearview mirror, which we can't talk about the former and we can talk about the latter. I would point out that our confidence in what the consumer is willing to pay to go to the movie, in part comes from the success of our PLF auditoriums because our PLF auditoriums often charge a $6 or $7 upcharge for an IMAX or a Dolby Cinema screen instead of a regular screen. Our primes sometimes get $3 to $6 more than our regular auditoriums. Our RealD 3D screens usually get $3 -- $3 to $4 more than our regular screens. And these formats have been killing it. If you look at -- when we put a movie on sale, gets what tickets sell first. If you look at when we put a movie on sale, guess what, tickets sell first. It's our premium large-format screens at prices that are 30%, 40%, 50% higher than our regular auditoriums. That suggests to me that the consumer has demonstrated clearly then it's willing to pay up for the best. And so therefore, the challenge for AMC is to deliver them the best. And that's why we're putting laser projection into our regular auditoriums. As I said, as we sit today, 43% of our screens in the U.S. now have laser projection. By year-end, 55% of our screens will have laser projection. It increases the light levels on the screens by 50% to 100%, makes the picture much brighter, much sharper, and that greatly improves the quality of experience that our guests get, hence, our confidence in having raised prices a couple of months ago. Now moving to your food and beverage question. The answer is we're doing all of it. So we're focusing on a variety of things. Number one, menu variety so that our overall menus, not only at our dine-in theaters, but also at our regular theater concession stands are more interesting and more appealing to our guests. Second, we've added a whole -- because we've added so much variety to the experience, we've been successful in selling more units per transaction to a guest. So a guest who used to buy 1 product, now buys 2, a guest who used to buy 2, now buys 3. Guest who used to buy 3, now buys 4. We've also had dramatic success in getting more people to stop at the concession stand and actually buy from us. It is a stunning statistic. How many people can go to a movie theater, just pass their historic $12 or more recently $13 or $14 ticket price to get in. That's for an average screen, not for a PLF screen, more like $18 or $19 for a PLF screen. We're just able to pass the $12 to get in the door and that's it. And then they go to their seat and they don't buy a thing. The number of people just at AMC in a year who go into our theaters and buy nothing from us at all at the concession stand is more than the entire attendance of any major, League Baseball team, in the entire American League or the entire National League, it is amazing. And yet, one of the things that's caused real success for us ever since we reopened from COVID 5 years ago, is more and more people are no longer bypassing the concession counter. They're stopping at the concession counter and they're taking advantage of all the things that we now offer. And I mean, there's a lot of creativity in that. Movie theme drinks, which we didn't do many years ago, we now have movie themed drinks just about every weekend of the year, and they're very profitable for us. But it's also true with having 4 kinds of popcorn flavors instead of 1, having 140 drink flavor choices coming out of a freestyle machine instead of being some movie theater that has a little fountain where they can dispense 8 or 10 or 12 different flavors for the guest. I could go on and on about the variety of things that we're offering our guests -- but that's causing more people to stop the concession as a buy. It's causing more purchased items per guest. And of course, yes, we have taken some pricing action up as well.
Eric Christian Wold: If I can squeeze one in as well. One more -- you signed the amended agreement with National Cine Media a few months back to extend the amount of advertisers prior to the showtime that started at the start of July. Reports out recently that you may now be cutting that back already. I guess any comments there that is true, you are cutting it back, what's leading to that decision to do so quickly after extending it?
Adam M. Aron: Well, first of all -- so the reports that you're hearing are accurate and inaccurate at the same time, and you get -- you sort of got half of it, but not all of it right. So first of all, there were 2 rationales for why we did the deal we did with National CineMedia. And it's something we resisted for many years because we don't like lengthening our preshow, and we don't particularly love using our customers with ads for third-party product. But the first rationale is our 2 largest competitors, Regal and Cinemark have been doing this for like 6 or 7 years, and we did not. And we noticed that their market share was not being hurt by these actions, and we were foregoing literally tens of millions of dollars a year. And we made this decision in the first quarter, which is a pretty bleak year -- a pretty bleak quarter for revenues and profitability. And we really thought it was irresponsible to pass up the monies that our competitors were taking. But there's a second interesting reason. When we bought Carmike in 2016, we inherited the Carmike contract with NCM's biggest competitor called Screenvision. And Screenvision is in place in a significant number of our AMC theaters. Under the terms of the Screenvision contract, the Screenvision preshow played until 5 minutes after Showtime, whereas the NCM contract called for the preshow program as it were to stop at Showtime. So already within the AMC circuit, we had a disharmony where some of our theaters, the preshow -- the preshow ads continue for 5 minutes post Showtime and the NCM theaters did not. By this -- the first change with the NCM contract is we allowed NCM to have the same 5 minutes of extra preshow that Screenvision has had since we bought Carmike in 2016, we saw no pushback at our Screenvision equipped theaters for the length of our preshow. The only other change is this 1 minute of platinum spot that is going before, I believe, the second to last trailer prior to the start of the movie. So those are what we added in with NCM. And as I said, it's worth tens of millions of dollars a year to AMC in bottom line EBITDA growth. Now the press reports that said we're actually going to cut some things back. We're not cutting back the agreement that we put in place with NCM. That is contractual and it's contractual for many years to come. But what we are going to try to streamline a bit is we run about 4 minutes or so of AMC marketing material and fluffy Silence is Golden and Turn Off Your Cell Phone and things like that as part of our whole preshow experience. We think we can take -- it's like 4 to 5 minutes in length. We think we can easily take 2 to 3 minutes out of that. Another thing that we have to think hard about is we carefully surveyed the number of trailers that we show before the feature film and the number of trailers at our largest competitor show. And it looks to us like we're showing extra trailer more than our principal competitors, which adds another 2.5 minutes or so to the length of our preshow package in total. And we knew that when we did the NCM deal, we might have to make a trade-off if we're going to add 6 minutes of what's called NCM time, we might have to reduce a trailer and might have to add down some of our marketing fluffier stuff in advance of the feature film. And I mean, I'll give you a perfect example. Right now, like IMAX and Dolby very successful formats for us. And we put a 1-minute promotional teaser about IMAX or Dolby in front of every future film. We think we can cut back to 45 seconds. It will be, in our view, just as effective, just as impactful. We'll tell a great IMAX story, we'll tell a great Dolby Cinema story, but it's 15 seconds saved. 15 seconds here, 15 seconds there. It adds up. We think we can shave 4 or 5 minutes out of it. So it's not that there's been a change of heart. We always knew that when we did the NCM deal that we would probably have to shorten at the same time, we're lengthening so that those 2 vectors offset each other and balance each other out. We know that consumers -- some consumers love the trailer packages because they get to see what's coming. And we know our studio partners love the trailer packages because the best form of advertising that they'll find anywhere, it's putting their movie product right in front of moviegoers faces. So like -- but we also know that some of our other consumers think the trailer packages going too long, and we're trying to find a happy medium. And we're also doing a better job of telling people when the movies will start, so that for those people who don't want to get their trailer time, they can come a little later or if they're anxious, they don't need running in the door at the single dot of showtime like they're going to miss the movie. So anyway, that's the reaction to the whole NCM and pre-show story.
Operator: We'll take our next question from Chad Beynon of Macquarie.
Chad C. Beynon: Nice quarter. I wanted to ask about just the overall portfolio, Adam. And Sean, you went through the net closures over the past couple of years. I think this was one of the first quarters where there was almost 0 net closures sequentially. So with that in mind, can you just talk about given the profit outlook and the more positive view on the industry, are we at a point where we might start seeing net adds going forward? Obviously, understanding that leases come up on an annual basis, but just kind of thinking about the portfolio and the cash flow per screen, could this start to be a floor in terms of the number of units in your portfolio.
Adam M. Aron: Well, thanks for the question, Chad. So there was one really important statistic that Sean left out when he bragged about 205 closures and 65 openings. Is it 205 and 65? 203, 204, or some 200 change and 65 openings. What he didn't mention is that the 65 openings are out grossing the 204-ish closures. So we're focusing on the wrong statistic by focusing just on the number of theaters that we closed. What's more important is the profitability of the theaters that we're opening versus the profitability of theaters that we're closing. And in the case of the theaters that we closed, most of them were losing money. When you look at the theaters that we're opening, we've opened hit after hit after hit. There are theaters that we've opened like in the last few years that are amongst our highest grossing theaters in the entire United States. What come to mind, the Grove in Los Angeles, Americana brand in Los Angeles, Porter Ranch also in Los Angeles, Topanga 12 also in Los Angeles. The Grove and Americana are 2 of our 10 highest grossing theaters week in and week out. Porter Ranch and Topanga, they're in the top 25 highest grossing theaters or the top 50 highest grossing theaters out of 540 week in and week out. And as you take the collective of it all, the theaters that we're opening far outshine and they're shiny and they're new and they're in great locations today. They're far outshining the 25-year-old theaters that are somewhat more abund that might have been in bad locations today. They were good locations 25 years ago when they opened, but those locations aren't as compelling today as they once might have been at the turn of the 21st century. So again -- but about 10% of our leases come up for renewal every year. So figure 100-ish theaters come up for renewal. I wouldn't be shocked if we closed 10 of them. So I don't know that we're at an absolute floor. But what you can assume is that when we close a theater with almost 100% reliability, we're not closing a profitable theater. We made a lot of money. We're closing a theater that was a drag on our EBITDA, that was lowering the consolidated EBITDA of the company. So as it closes, the EBITDA of the company rises. Will we get to a point where we still have that many expression theaters left on our system, having closed 200 of them. But we have a few. So maybe we close 5 to 15 a year for the next few years. But we will -- we're continuing on the hunt for new theaters in A locations. We're just opening in Chicago, a theater that we believe will be one of the highest grossing theaters in Chicago. And again, the theaters that we're opening are grossing more than the theaters we're closing and they're producing more EBITDA than the theaters that we're closing. At some point, I think we'll move to a net add of theaters rather than a net decline of theaters. I don't know that we're there yet exactly, except one key circumstance. And that is we continue to be offered portfolios of theaters on an M&A basis, sometimes at very attractive prices, like really attractive prices, like 3 or 4x EBITDA kind of attractive prices. And so I do think if you look forward over the next 36 months, maybe, you'll see that some of our biggest additions of theaters, which might far outstrip some of the closures may come to us in interesting acquisition opportunities where we can bring theaters in good condition into our fleet at very attractive M&A expenditures.
Chad C. Beynon: Lastly, quickly, Sean, just on the big beautiful build benefits to CapEx generating companies. Can you just talk about, as you see it now, maybe what some of the cash benefits could be either from a cash tax standpoint or a cash shield standpoint in future years?
Sean D. Goodman: Sure. So obviously, as a result of that build, we get 2 key benefits. The one is the depreciation deduction and the other is the interest deduction based on EBITDA as opposed to EBIT. So that has a benefit for us. But bear in mind that we have NOLs that will run through, probably through 2026 or so. So the cash benefit will only be in future years '27, '28 and going forward from there. So it's certainly -- it's beneficial. It increases the NOLs for future cash deductions, but it's not a short-term cash benefit. It's more of a longer-term cash benefit for us.
Operator: Thank you. We have no further questions at this time. I'd be happy to return the call to Adam Aron.
Adam M. Aron: Thank you, Leo. We're going to now take a couple of questions from shareholders. Sean?
Sean D. Goodman: Sure.
Adam M. Aron: What came in from our retail investors.
Sean D. Goodman: Yes. So just briefly, the first question is just asking if we have any reaction to Skydance's acquisition of Paramount, that's not just closed.
Adam M. Aron: Yes, we sure do have a comment about the Paramount acquisition from Skydance. First of all, we've had a very good relationship with Paramount across many generations of its leadership. I'd especially like to thank Brian Robbins and his executive team. They've been superb partners for AMC over the course of the last many years. At the same time, though, we are excited by Skydance's acquisition of Paramount because Paramount has been cash hampered in recent years, which has caused them to greenlight fewer movies than they might have liked to. It appears to us that Skydance is cash rich. And it would be our expectation that Skydance will be releasing more movies coming out of Paramount than Paramount has been releasing in recent years. You'll also recall that David Ellison is no rookie in the movie business. He's been a prime force in some of the most important movies that have come out in recent years and what especially comes to my mind is Top Gun: Maverick, which, in my mind, is the single movie that you can point to since COVID hit in 2020 that turned the movie theater industry around. It set us back on a course where studio with its $1.5 billion worldwide gross, it finally reminded various studio chiefs that the future was not only in their streaming services, but also in their theatrical releases. And that sometimes the most successful movies on streaming services were those movies that had a great theatrical release. [ Point in Case ] was the highest movie watched on Paramount Plus, Top Gun: Maverick. Why? Because it had a spectacular $1.5 billion theatrical release worldwide. So the fact that David and Skydance want to make more movies and the fact that they have experience in making really good movies. And then you can add in the fact that the new President of Skydance is going to be Jeff Shell, who used to be the Chairman of Universal Studios. And we've had a superb relationship with Jeff Shell over the past decade. And I've talked to Jeff. I know that he's excited to be back at the helm of a major studio. Well, he's got more than the studio, of course, he's got the whole enchilada, but his influence over what happens at Paramount will be profound, and we think it's going to be very good for theatrical exhibition.
Sean D. Goodman: Terrific. Do you want to comment about AMC distribution? There -- we just made the Eminem announcement last weekend. Anything you'd like to point out on AMC distribution and future opportunities there?
Adam M. Aron: Sure. Obviously, 2 years ago, we had these massive successes with Taylor Swift and Beyonce. And we've had lots of conversations with lots of world-class artists since then, some deals got very close, but then didn't materialize. Others have happened. We did this Billie Eilish album release a year ago. We did this Eminem documentary just this weekend, which is apparently a movie beloved by his fans. It got some spectacular scores on Rotten Tomatoes, I heard. We're in several conversations right now with more world-class talent about more projects coming out as soon as 2026. It's also given us the -- again, the courage to look more broadly at how movies are distributed. And we had success in distributing some concert movies. Maybe there are some nonconert movies we could help bring into theaters as well. We'll see. The vast majority of our product is always going to come from our studio partners, of course. But I think there's opportunistic profit opportunity. There is plenty of excess capacity in the movie theater industry. It is -- I'm an old airline guy. If an airline had fewer than 75% of its seats filled, an airline marketer would have slashed his wrist. In the movie theater industry, we're -- instead, we're a church built for Easter Sunday, we only sell less than 20% of our seats in the course of any given year. There's tons of capacity. We certainly have the screens to show more product if there's more product to be made.
Sean D. Goodman: Terrific. And Adam, finally a question here on AI and the impact on our business and the extensive benefits. I wonder if you'd like to comment on that.
Adam M. Aron: So every company in America is talking about AI. Every Board of Directors of America is talking about AI. We're no different. So we're talking about AI. And the AI revolution is happening very quickly. I know that I've completed -- personally, I've completely abandoned Google in exchange for ChatGPT. And you just see it in every aspect of our company, there's opportunity to use it. We're already using it in software development and software optimization and software testing. We're using it in image creation for marketing. We're using it for the automation and simplification of tasks here in our corporate office. We process our accounts payable using AI. We've got teams in our theaters looking at AI and how it can be used to address operational issues in our theaters. We're using AI already in demand planning for our inventory management. But like we've just scratched the surface. I really do think going forward, there'll be an opportunity for us to take care -- take advantage of the powerful AI technology to assist with our pricing, with our film scheduling, with our customer service programs and our consumer response programs. And there's more -- and the more -- which might be the most exciting of all, we've actually been talking and are in conversations right now about making small investments in some AI technology-enabled companies whose prospects are related to the movie industry related to entertainment and whose prospects are incredibly bright. And we'd like to benefit fully from the AI revolution that clearly is already at hand.
Sean D. Goodman: Terrific. I think that's all the questions that we have at this point.
Adam M. Aron: Great. All right. Well, look, thank you, everybody, for joining us today, for staying with us. The second quarter of 2025 was one that made us very excited here at Leewood, Kansas. We delivered big numbers, almost a quintupling of our EBITDA. We were ahead of the street on just about every expectation you all had for us. And we think this is just the beginning of something that's going to happen quarter after quarter starting in the fourth quarter of 2025. Remember what I said, in the fourth quarter '24, revenues were up 18%, EBITDA tripled. In the second quarter 2025, revenue was up 35% and change. Our EBITDA was quintupled. There's enormous operating leverage in this business. If we can finally have the wind in our backs with rising industry revenues, the sky is a limit for the EBITDA that AMC can generate as a result. Thank you for joining us today. We'll talk to you in 90 days.
Operator: This does conclude the AMC Entertainment Holdings, Inc. Second Quarter Earnings Webcast. You may now disconnect. And everyone, have a great day.